Operator: Good day and welcome to the Shapeways First Quarter 2022 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Nikki Sacks. Please go ahead.
Nikki Sacks: Greetings and welcome to Shapeways first quarter 2022 earnings call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the prepared remarks. As a reminder, this conference is being recorded. Before we get started, I'd like to remind everyone that management will be making statements during this call that include forward-looking statements within the meaning of Federal Securities Laws, which are made pursuant to the Safe Harbor Provisions of the Private Securities Litigation Reform Act of 1995. Any statements contained in this call that are not statements of historical fact, should be deemed to be forward-looking statements. Our forward-looking statements, including without limitation statements regarding our business strategy, future financial and operating performance, projected financial results for the second quarter of 2022, expected growth, impact of recent acquisitions, new offerings and market opportunity are based upon current estimates and various assumptions.  These statements involve material risks and uncertainties that could cause actual results to differ materially from those anticipated or implied by those forward-looking statements. Accordingly, you should not place undue reliance on these statements. For description of the risks and uncertainties associated with our business, please see the company's SEC filings, including the company's quarterly report on Form 10-Q for the quarter ended March 31st, 2022. The information provided in this conference call speaks only to the broadcast today, March 31st, 2022. Shapeways describes any obligations except as required by law to update or revise forward-looking statements. Also, during the course of today's call, we’ll refer to adjusted EBITDA which is non-GAAP financial measures. There's a reconciliation schedule showing the GAAP versus non-GAAP results currently available in our press release issued after market close today, which can be found on our website at shapeways.com. On the call today, are Greg Kress, Chief Executive Officer; Jennifer Walsh, Chief Financial Officer; and also available for Q&A is Miko Levy, Chief Revenue Officer. And now I would like to turn the call over to Greg. Greg go ahead.
Greg Kress: Good afternoon everyone. Thanks for joining us to discuss Shapeways' progress in Q1 2022 financial results. I will begin by providing a business update and share the progress that we've made against our strategic growth. Jennifer Walsh, our CFO, will then discuss our first quarter financial results and outlook for the second quarter. Shapeways is the leader in digital manufacturing. We believe we are well-positioned and differentiated in a large and fast-growing digital manufacturing market. We combine high-quality, flexible on-demand manufacturing with purpose-built proprietary software that enables our customers to rapidly transform digital design in the physical products. Since completing our business combination and listing on the New York Stock Exchange in September of 2021, we have focused our investment on the execution of our strategic growth plan. This includes four key growth initiatives, including the expansion of our additive manufacturing capabilities, executing a comprehensive go-to-market strategy, expanding our manufacturing services offering to include more traditional manufacturing processes, and commercializing our software. To-date, we've made progress towards those goals and are excited about the long-term growth. For the first quarter of 2022, our revenues were $7.6 million, slightly ahead of the guidance we provided to you on last quarter's call. We delivered that revenue with strong gross margin performance at 45%. Throughout the quarter, we continued to execute on our additive manufacturing expansion initiatives, which includes the deployment of new hardware from desktop metal. We also invested in our go-to-market expansion initiatives, which includes growing our business development teams, which is targeting mid-market and enterprise customers, both geographically and by vertical. We continue to develop our outsourced supply chain and to include traditional manufacturing capabilities, which we believe will allow us to capture more share of wallet from our customers over time. And lastly, we continue to make progress commercializing our software offering under the Otto brand. We are focused on the first phase of this rollout, which provides small and midsized manufacturers the ability to leverage Shapeways software and provide additive manufacturing services to their customer without investment. Following the end of Q1, we completed three strategic acquisitions that closely align with our objectives of accelerating our growth initiatives, which include additive manufacturing expansion, go-to-market development, traditional manufacturing and software. I'll provide further detail on these strategic acquisitions later in my remarks. I am proud of the progress that we have made maintaining our leadership position in the digital manufacturing industry, advancing our strategy and executing on the core competencies of delivering low-volume, high-mix production at scale. Our ability to successfully do that has been enabled by our proprietary purpose built software, which digitizes the end-to-end process. This offer removes friction from the ordering process, enabling our customers to easily optimize their files for printability, configure their manufacturing requirements, obtainment in pricing, utilize best-in-class e-commerce tools, pre-digital inventories and integrate their own business software directly into Shapeways Digital manufacturing platform through our API to make future purchases more seamless. Our software manages complex workflows, which enable efficient high-quality manufacturing at scale. This optimizes the labor, material, machine and overhead costs associated with manufacturing the part and drive down the cost, maximizing gross profit. Additionally, it attracts every step of the process, allowing for high levels of traceability, data and insights. This software enables us to efficiently manage dynamic ever-changing customer requirements at scale.  Currently, the majority of Shapeways revenue comes from providing additive manufacturing services to our customers. We provide them with access to high-quality industrial grade additive manufacturing of scale. This allows our customers to utilize innovative manufacturing capabilities without making significant investments internally in CapEx, labor, knowledge and software. This reduces the risk of investing in the incorrect capabilities and allows them to shift between a wide range of manufacturing hardware technology materials and finishes based on their needs.  Our customers also benefit from Shapeways volume, where they may see a path [ph] pricing lower than their internal cost structures. There is a wide range of examples, of how customers utilize Shapeways manufacturing services. For example, we have an aerospace customer that develops medical trends for emerging markets, which leverages Shapeways for low-volume production for their payload modular device and adaptable parts in their various drone model. This enables them to continuously iterate the design optimized for waste and hold minimal inventory. Another example is an innovative NFT creator, which allows our NFT purchasers to access physical representation of the products fulfilled by Shapeways. They have leveraged the Shapeways API to integrate directly with our platform, which allows them to offer physical products to their customers with seamless manufacturing fulfilled by Shapeways. Another example is a large software company that is providing a digital inventory of adaptable accessories to support increased accessibility for customers with disabilities. This allows highly personalized accessories to expand access to their hardware.  As we have mentioned on previous calls, we are focused on four growth areas that we believe will enable us to capture and expand market share using our highly scalable digital manufacturing platform and software. And I am pleased to report that we have made progress on all initiatives.  First is the continued expansion of our additive manufacturing capabilities, including investments in new hardware, technologies, materials, finishes and certifications to support enterprise customer needs. We have launched several new capabilities that are already helping us expand our global manufacturing footprint across metals, elastomers, polymers, composites, wood and digital casting applications. And we anticipate continued investment in this area to drive growth. This launch of new capabilities help impact near-term margins, but we expect that these new added manufacturing capabilities will be the valuable sources of new revenue. Second, we are continuing to accelerate our go-to-market strategy, expanding beyond our historic self-service sales model to have a more comprehensive strategy. We have made investments in our marketing, business development and user application teams that are already showing results. We see strong progress in part qualification and validation orders. We've closed multiyear contracts and increased our sales pipeline with mid-market and enterprise customers. With this expanded strategy, we are uncovering new and exciting opportunities that require outbound business development and user application resources to support. This will enable us to expand into key verticals like industrial, medical, automotive and aerospace.  Third, we are focused on expanding our manufacturing services beyond additive capabilities to offer our customers more traditional manufacturing services like CNC injection molding and sheet metal. We expect to scale these manufacturing capabilities through our outsourced supply chain workers, while making minimal investments in internal manufacturing capability. We plan to focus our investment in both software and supply chain development to support these additional manufacturing methods by offering these manufacturing methods to our customers, we have the ability to capture more share of wallet and increased market penetration. Our final growth initiative is the continued commercialization of our software. Last year, we introduced auto and been a phased rollout of this purpose-built software platform. The auto software offering enables other manufacturers to leverage Shapeways digital manufacturing software platform for their own business needs. This will enable them to improve accessibility by moving online and removing friction from their ordering process, increase their profitability by capturing the efficiency through digitization of the end-to-end process and expand our manufacturing capabilities by leveraging, an outsourced supply chain versus making those investments internally.  The initial phase of the auto software rollout, which has already begun, provides traditional manufacturers with the ability to offer additive manufacturing services without investment, allowing them to expand their manufacturing capabilities, generate new revenue streams and grow profitability through our white label solution. Future phases of this rollout will include the further digitization of their internal manufacturing processes and the ability to create and manage the supply chain.  Our target customers are small and medium sized manufacturers who don't have the ability to make the investment to digitize their processes or invest in new innovative manufacturing capabilities. So, by providing them access to auto, we can leverage our software platform to support them in their digital transformation. This is the potential to create multiple new revenue streams for Shapeways, allowing us to grow our manufacturing business and also create a SaaS revenue model. As mentioned earlier, since closing Q1, we completed three strategic acquisitions. We expect each of these acquisitions to accelerate our growth initiatives and advance our long-term growth plan, helping us to seize market share capture talent, develop new go-to-market channels and our customer base and capture more customer share of wallet. We expect two of these acquisitions to help enhance our software strategy by adding immediate features to our auto software platform and helping to accelerate future phases of the offer. The first of these is MSG. MSG’s core business is to enable custom part manufacturers, the ability to grow their business by making it easy for them to be discovered on its cloud-based request-for-quote management platform. They also help buyers to find the best possible manufacturer that fits their needs through a set of supplier and buyer marketplaces. Their focus on more traditional manufacturing is expected to accelerate our traditional manufacturing growth initiatives by enabling supply chain development efforts, and give us the ability to leverage the thousands of manufacturers that are on the platform to fill Shapeways customer’s need. This is also expected to accelerate the commercialization of our software platform by integrating their RFQ process into our platform and the ability to offer auto software to their installed customer base. The second acquisition that we completed was MakerOS. MakerOS offers a SaaS service to facilitate design, prototype and production processes for manufacturers and service providers. MakerOS has a scalable platform and advanced tools and bring complementary features to the auto software platform, including enhanced project-based quoting, project management tools and customer collaboration and communication tool. The third acquisition that we completed was Linear AMS. Linear AMS supports injection molding manufacturing applications, tooling and manufacturing production through additive manufacturing and is an expert into formal cooling, which leverages additive manufacturing to dramatically improve injection molding cycle time. We are excited to have Linear AMS join Shapeways to help accelerate our additive manufacturing expansion go-to-market expansion and traditional manufacturing growth initiatives. Linear AMS expands our additive manufacturing capabilities with new hardware, materials, finishes and certification. It enables further go-to-market expansion with additional business development and user application expertise and bring deep customer relationships in key verticals that we expect to build upon. It also deepens our expertise in traditional manufacturing method, specifically in injection molding. These are just a few examples of how Shapeways can accelerate our growth plan through strategic acquisitions, which can enable us to aggressively drive market share consolidation, capture talent, develop new go-to-market channels, acquire new customers, expand customer share of wallet and drive gross profit optimization. As we continue to see the market shift towards the digitization of manufacturing, these are the types of acquisitions we plan to continue targeting. We have a robust pipeline of small tuck-in and larger acquisitions that could accelerate our strategic plan and be accretive to our equity store. We believe that we are approaching an inflection point in the overall adoption of digital manufacturing solutions and that Shapeways is well positioned to capture that demand. We have developed a road map to help us accelerate our vision, and we are making meaningful steps towards executing on that plan. Lastly, we have continued to develop and build out our leadership team. We've added great talent across all functions and filled key leadership roles in finance, legal, operations and commercial. I would like to welcome our new team members and thank the entire Shapeways team, our investors, and all our stakeholders for the trust and support. Jennifer will now discuss our financial results in more detail.
Jennifer Walsh: Thanks, Greg. I'll provide a recap of our first quarter 2022 performance, give an update on our balance sheet position and provide guidance for the second quarter. In the first quarter, revenue was $7.6 million compared to $8.8 million in the prior year. This decline was primarily due to the shift in our focus towards middle market and enterprise opportunities, which have longer sales cycles. We continue to prioritize our resources and spend towards growing this aspect of the business, and we anticipate conversion of our robust pipeline later in the year. Our gross margins in the first quarter were 45% compared to 47% in the first quarter of 2021. We continue to deliver top-tier gross margins. And the year-over-year change was primarily due to the ramping of recently deployed new technologies along with the impact of lower sales volume. First quarter adjusted EBITDA was a loss of $4.3 million compared to a gain of $100,000 in the first quarter of last year. SG&A expenses for the first quarter were $6.1 million compared to [indiscernible] million in the prior year. These results reflect additional personnel, higher marketing spend and other expenses to drive future growth. We also saw an increase in audit and other spending related to becoming a publicly traded company. Now turning to our balance sheet. As of March 31, 2022, our cash and cash equivalents totaled $64.7 million. This cash balance reflects a little over $11 million of cash we deployed during the first quarter as part of the execution on our strategic initiative of investing in new technologies and materials. As such, our normalized operating burn is much lower than Q1 might imply. We believe the continued strength of our balance sheet provides us with the necessary funds to make targeted investments to progress our growth initiatives, including the purchase of additional hardware, the continued expansion of our sales team and executing acquisitions that align with our strategic plan. Consistent with the broader global economy, we expect to face inflationary pressures, supply chain challenges and geopolitical needs, but we are proactively working to mitigate a potential impact, and these sources have not had a material impact on our results to date. For the second quarter of 2022, we anticipate revenue to be in the range of $8.2 million and $8.5 million. As we continue to invest in both new hardware and our go-to-market initiatives, and as we integrate and find gross margin opportunities within our recent acquisitions. We anticipate some continued near-term impact on our gross margin. We expect to see a ramp of sales in the back half of the year from our investments in new technologies and materials and increase in business development resources, the continued rollout of our auto software product and from the impact of our recent acquisitions. This completes our prepared remarks. We will now open the call for questions. Operator?
Operator: We will now begin the question-and-answer session. [Operator Instructions] And our first question will come from Greg Palm with Craig-Hallum Capital Group. Please go ahead.
Danny Eggerichs: Yeah. This is actually Danny Eggerichs on for Greg today. Thanks for taking my questions and congrats on the quarter. Was wondering, maybe on monthly cadence throughout Q1, I don't know if you saw maybe any impacts in January from COVID variant and how that ramped throughout the quarter. And I know you gave the guidance, but then, kind of what kind of trends you've been seeing quarter-to-date?
Greg Kress: Yeah. To speak to -- well, first of all, thanks for joining the call. I appreciate you guys joining and asking some questions. I think first and foremost, obviously, COVID does have an impact on the overall business. With that being said, Shapeways has a wide range of installed base customers across a wide range of industries and so each one of those industries kind of has their own impact. But at the end of the day, I think that we are finding our new normal. And we're working through it. And so ultimately, I feel like, we're handling the situation well. And COVID is something that we've been able to weather through so far. And so, I think if anything, it's coming through from potentially a customer impact standpoint, but we are figuring out and not seeing any significant challenges on the operations side, whether it's executing on manufacturing or delivering products through the different freight carriers.
Danny Eggerichs: Got it. And then, in terms of maybe the new offerings. What -- how has the traction been for metals so far? And I don't know if you can quantify how many additional desktop printers that you added this quarter? And then -- any progress on leveraging the polymer and metal customers into each other yet?
Greg Kress: Yeah. So we started the rollout of some desktop metal capabilities in Q4. And so far, we've launched three different types of offerings. One is the Shop System from a Metal offering. The second is the Studio System, which is another Metal offering. And then the third is, the Shop System, but with a Wood offering. And each one of them, are in a different phase of development and roll out. And so, we started with the Shop System from a Metal offering standpoint. And we've seen some success. The Studio System, I will say, is at full capacity and will be at full capacity for quite a while. And then the Wood System, we have not yet brought to market. We are still working through internal qualification and feeling good about scaling it. So, each one is kind of in its own rollout phase. I will say that this is -- we expected it takes time to roll out new technologies and to offer our customers the level of quality and reliability that they've come to expect. And so, we're ensuring that we roll this out in a way that also aligns with our quality expectations as well. And so, of course, we've run into challenges and we've been able to overcome them, but that's to be expected. And we continue to see a lot of promise in the long-term growth of those product lines.
Danny Eggerichs: Okay. Good. And then, maybe lastly, I'll jump on over to auto. Any initial feedback from those small mid-sized manufacturers and it sounds like a couple of these acquisitions might even accelerate your internal time line of fully rolling that offering out?
Greg Kress: Yes, you're exactly right. And we learned a lot from some of the initial customers that we started to roll out, and we started to make quick adjustments to the product road map, based on some of that feedback, with onboarding timing and rollout and expectations. And I think that the team did a phenomenal job of adapting really quickly to it. And, ultimately, we spent a lot of time in Q1 preparing to close both MFG and APEROS [ph]. And both of them come with features that are on the long-term road map of auto. And what this does, it allows us to accelerate a lot of those capabilities. And so right now in Q2, we're focused on rolling out and integrating those road maps in one road map throughout the quarter. And so, I fully expect to continue making strong progress here, and we're really excited about what's in front of us.
Danny Eggerichs: All right. Appreciate it. I’ll leave it there.
Operator: [Operator Instructions] Our next question will come from Chris Grenga with Needham & Company. Please, go ahead.
Chris Grenga: Hi. Good afternoon. Thanks for taking the question. Just on the -- as you're expanding the sales team, I'm wondering if you could give us any color with the nature of the conversations that you're having with the industrial, automotive, aerospace customers. And how that translates into your conviction for sales ramp in the back half of the year?
Greg Kress: Yes, it's a great question. Thanks for joining. The investments that we're making in business development and user application, we've continued to expand. A couple of things that I think are really interesting. One, we've -- the approach that we've taken is across different verticals and it's across different geographies. And we're testing both methods to see where are those opportunities and the good news is we're finding opportunities in both of those strategies. We've been able to bring on a very significant pipeline that we're really excited about and logos across a ton of different industries that provide us with good insight into what type of offerings we can offer those customers. And right now, from a phase standpoint, we are continuing to expand the business development team. We're in the process of part qualification and validation with a lot of customers. And we're looking to validate a lot of our assumptions as we move forward, but we have high expectations for what this will do for the business. I think we're making good progress. And we've closed a handful of contracts, a handful of multi-year contracts that show a lot of promise. And I think if we continue to do the things we're doing, we'll be happy with the investments that we've made. And I think you'll see more and more of that over the next quarter.
Chris Grenga: Got it. And with the most recent acquisitions, just wondering if you could maybe talk about the buy versus build decision, particularly with respect to the auto or the software-related businesses, and will those businesses generate SaaS revenue?
Greg Kress: Yes. That's a great question. So when we started the process, we look at our four growth initiatives. And of course, we have an organic roadmap to go and drive this forward. But when we do the build versus buy analysis, there are feature sets and capabilities out there that allow us to significantly accelerate that roadmap. And so as we went through that, we saw that there was a more efficient use capital to go and bring those in. And so specifically on Linear AMS, Linear AMS provides us not only with additional hardware capability, and traditional manufacturing expertise and business development resources and user application resources with good, great customers and verticals that were not yet in, they are able to offer us additional certifications and things like that. So there's a lot of opportunity here. We just closed this transaction, and so we're expecting to see a lot of good progress here. On the software side, we have acquired two companies, MFG and MakerOS both of them accelerate our feature set, and they will be able to offer us a faster path towards a SaaS model. And so again, I think you'll see more and more of this in the back half of the year, but we're excited about the progress.
Chris Grenga: Great. Thanks. And just one more for me. Did you break out the direct versus marketplace sales for this quarter?
Greg Kress: Jennifer.
Jennifer Walsh: We did in the release. The mix of the two is about in line with what it's been historically.
Chris Grenga: Got it. Thank you very much.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Greg Kress for any closing remarks.
Greg Kress : Thank you very much. First off, I just want to thank everyone on behalf of the entire team. Thanks for taking the time to join the call today. Thanks for asking questions, and we're looking forward to providing more additional updates in the coming months. Thanks, everyone.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.